Operator: Welcome to the Woodward, Inc. Fourth Quarter and Fiscal Year 2018 Earnings Call. At this time, I would like to inform you that this call is being recorded for rebroadcast, and that all participants are in a listen-only mode. Following the presentation you will be invited to participate in a questions-and-answer session. Joining us today from the company are Mr. Tom Gendron, Chairman and Chief Executive Officer; Mr. Bob Weber, Vice Chairman, Chief Financial Officer and Treasurer; and Mr. Don Guzzardo, Vice President of Investor Relations and Treasury. I would now like to turn the call over to Mr. Guzzardo.
Don Guzzardo: Thank you, operator. We would like to welcome all of you to Woodward's Fiscal Year 2018 and Fourth Quarter Earnings Call. In today's call, Tom will comment on our markets and related strategies, and then Bob will discuss our financial results as outlined in our earnings release. At the end of the presentation, we will take questions. For those who have not seen today's earnings release, you can find it on our website at woodward.com. We have again included some presentation materials to go along with today's call that are also accessible on our website. An audio replay of this call will be available by phone or on our website through November 21, 2018. The phone number for the audio replay is on the press release announcing this call as well as on our website and will be repeated by the operator at the end of the call. Before we begin, I would like to refer to and highlight our cautionary statement as shown on Slide 3. As always, elements of this presentation are forward-looking or based on our outlook and assumptions for the global economy and our businesses more specifically. Those elements can and do frequently change. Please consider our comments in light of the risks and uncertainties surrounding those elements, including the risks we identify in our filings. Woodward is providing financial information as reported under U.S. GAAP and on an adjusted basis and an organic basis. Please refer to our press release and related tables as well as the appendix of today's presentation for the definitions of adjusted and organic. Management uses these non-U. S. GAAP and adjusted financial measures when monitoring and evaluating the ongoing performance of Woodward and each business segment. We believe this will help in understanding both historical performance and future results. We direct your attention to the reconciliations of non-U. S. GAAP financial measures which are included in today's slide presentation and our earnings release and related schedules. Now turning to our results for the fourth quarter. Net sales for the fourth quarter of fiscal 2018 were $719 million, an increase of 19% from the prior year quarter. Organic net sales for the fourth quarter, which exclude L'Orange, were $641 million, an increase of 6% from the prior year quarter. Earnings per share were $1.16, adjusted earnings per share were $1.39 compared to $0.98 for the fourth quarter of the prior year. And for the full year, net sales were $2.3 billion, an increase of 11% from the prior year. Organic net sales were $2.2 billion, an increase of 6% from the prior year. Earnings per share were $2.82. Adjusted earnings per share were $3.85 compared to $3.16 for the prior year. Net cash generated from operating activities for fiscal 2018 was $299 million compared to $308 million for the prior year. Free cash flow was $172 million for 2018 compared to $215 million for 2017. Now, I'll turn the call over to Tom to comment further on our results, strategies and markets.
Tom Gendron: Thank you, Don, and good afternoon, everyone. 2018 was an exciting and strong year for Woodward. We have maintained our focus on driving long-term growth and building value for our shareholders. First, we continue to invest in several significant programs which position us to accelerate growth. In Aerospace, TRAS systems for the Airbus A320neo, A330neo and Boeing 777X and the fuel system for the GE9x are some of the key program investments that will deliver future growth. In Industrial, China VI compliant natural gas engine systems, new emission compliant diesel engine systems and new power converters on next-generation wind turbines are also exciting programs launching this year. The production ramp up of both the 737 MAX and A320neo continues, and we are successfully meeting these demands. We're intently focused on maximizing our operational excellence associated with these new programs and have improved our profitability through the launches. Additionally, in line with our ongoing strategies to optimize and enhance our operations to meet evolving market conditions, we are relocating our Duarte operation to the Drake Campus here in Fort Collins. We believe this initiative will allow us to support the growth within our Aerospace segment while maintaining the highest quality of products and services for our customers. And lastly, we completed the transformational L'Orange acquisition in early June. This acquisition has proven to be an exceptionally strong fit within our Industrial segment with its excellent technology platform, large installed base and deep relationships with key customers. We are confident this business will continue to be a strong contributor both financially and strategically to our Industrial segment and to Woodward overall. Moving to our markets. Our Aerospace segment performed extremely well in 2018. Our share gains of next-generation platforms are driving strong OEM growth. Favorable MRO activities based on fleet dynamics and initial provisioning are delivering exceptional aftermarket growth. The demand for new fuel-efficient aircraft, global passenger and cargo traffic, high load factors and new operators taking on next-generation aircraft are all contributing to market strength. For business jets, we continue to see improvement, primarily as a result of new programs with enhanced Woodward content. Defense OEM activity remains solid due to demand for guided weapons and general increases in global defense spending. Turning to our industrial markets. In power generation, the long-term secular fundamentals remain in play, but as expected, industrial gas turbines and renewable's were the critical point of volatility as we continue to navigate disruption in the market. We believe our sales in the turbo machinery market have bottomed and that we will see a slow recovery over the next two fiscal years. Renewable power continues to increase its share of the power generation market, and large reciprocating engines are expanding in data center and backup applications. In transportation, marine aftermarket is showing strength as a result of increased global industrial activity. In Asia, the regulatory environment and related enforcement continues to promote the use of natural gas trucks and orders are increasing. The Chinese government is investing the necessary infrastructure to increase supply and storage capacity to mitigate volatility related to spikes in both the demand and price of natural gas as we previously experienced. Oil and gas markets remained robust with high oil prices and rig counts increasing on a global basis. In regards to L'Orange, our integration is proceeding as planned, and we are encouraged by the growth we are experiencing in a number of their markets as well as the opportunities for future sales synergies. With respect to tariffs, we are being proactive in developing strategies to mitigate potential effects on Woodward. To date, we have not seen any significant impact. Now, although there's a high degree of uncertainty, we do not anticipate a material impact going forward. In summary, we believe we are strategically well positioned to accelerate our financial performance. Our Aerospace segment continues to perform extremely well, and we have strengthened our Industrial segment to take advantage of future opportunities. We intend to deliver on our commitments to profitability for both our Aerospace and Industrial segments. We also return to strong free cash flow and remain committed to our 5-year free cash flow target of $1.3 billion to $1.5 billion by fiscal 2020. We're aligning our teams through our True North initiatives to capitalize on opportunities to substantially improve our operational performance and ultimately maximize free cash flow to drive superior shareholder returns. Now with that, I'll turn it over to Bob to discuss the financials in more detail.
Bob Weber: Thank you, Tom. Results for the quarter were solid and largely in line with our expectations. Aerospace sales increased 16% this quarter compared to the prior year quarter, driven by better-than-expected strength in commercial and defense OEM as well as commercial aftermarket. Commercial aftermarket sales were up 18% compared to the prior year quarter and 22% for the full year. This was the result of favorable fleet dynamics for Woodward, very strong global passenger and cargo traffic growth and next-generation initial provisioning. Defense OEM growth was primarily driven by smart weapons. And with increases in global defense spending, we expect a favorable defense environment to continue. Aerospace segment earnings for the quarter were 22.4% of sales compared to 21.4% in the same period last year. Segment earnings were positively impacted by the higher sales volume in the quarter. The investments we have made in facilities and lean operations are beginning to benefit segment earnings, and we continue to focus on additional operational efficiencies. Turning to industrial. Fourth quarter Industrial segment sales were up 24% compared to the prior year quarter, largely driven by the addition of L'Orange. Organic Industrial segment sales were down 13%, primarily due to weakness in industrial gas turbines and natural gas-fueled trucks in Asia, partially offset by increased sales in renewables. Fourth quarter Industrial segment earnings were 3.1% of sales. Adjusted Industrial segment earnings were 13.2% of segment sales compared to 11.1% in the prior year period. The increase in adjusted segment earnings was primarily driven by higher overall sales volume. However, lower than expected China natural gas fuel system sales tempered earnings somewhat. At the Woodward level, the decrease in gross margin for the fourth quarter and the year was primarily attributable to purchase accounting impacts of the L'Orange inventory step-up and amortization of the backlog intangible asset, both are recognized as a noncash increase to cost of goods sold. For fiscal year 2019, we expect to record approximately $25 million of backlog amortization. R&D spending for the quarter and the full year of 2018 was higher compared to the prior year periods. The increased spending relates primarily to new Aerospace programs as well as the R&D attributable to L'Orange. Selling, general and administrative expenses were $52 million this quarter compared to $46 million for the fourth quarter of last year. The increase in SG&A expenses was primarily due to the addition of L'Orange SG&A. For fiscal 2018, SG&A expenses were $193 million compared to $177 million last year. The increase in SG&A expenses for the full year was primarily due to the special charges associated with the acquisition of L'Orange of approximately $13 million and the addition of the L'Orange SG&A. The effective tax rate for the fourth quarter of 2018 was 5.7%. The adjusted effective tax rate was 18.9% for the quarter compared to 28.3% for the fourth quarter of 2017. For fiscal year 2018, the effective tax rate was 17.9%. The adjusted effective tax rate for the full year was 16.8% compared to 20.7% for 2017. Looking at cash flows. Net cash provided by operating activities for fiscal 2018 was $299 million compared to $308 million for the prior year. Capital expenditures were $127 million for 2018 compared to $92 million for the prior year. The increase was primarily due to the Drake Campus renovation and L'Orange capital expenditures. Free cash flow for 2018 was $172 million compared to $215 million in the prior year. Free cash flow for 2018 was impacted largely by the higher capital expenditures. Lastly, turning to our fiscal 2019 outlook. As you saw in the press release, total net sales are expected to be between $2.65 billion and $2.8 billion for fiscal 2019, with Aerospace sales up approximately 10% over the prior year. Additionally, we expect Industrial sales to be up approximately 30% compared to the prior year, predominantly driven by the L'Orange acquisition. We continue to evaluate the impacts of the new revenue recognition pronouncement and do not believe it will have a material impact on our sales or earnings for fiscal 2019. Aerospace segment earnings as a percent of net sales are expected to be approximately 20%, and adjusted Industrial segment earnings as a percent of net sales are expected to be approximately 14%. Consistent with new pension disclosure guidance, in fiscal 2019, we will classify interest cost associated with pension obligations in interest expense. As a result, for 2019, we anticipate interest expense to be approximately $45 million. We anticipate research and development costs to remain at approximately 6% of sales. The adjusted effective tax rate for the year is expected to be approximately 21%. For 2019, we anticipate capital expenditures to be approximately $120 million. Free cash flow is expected to be approximately $300 million, which returns us to our long-term target of about 100% conversion rate. Adjusted earnings per share are expected to be between $4.40 and $4.70, based on approximately 65 million fully diluted weighted average shares outstanding. I'd like to remind everyone that, historically, our fiscal first quarter is sequentially lower due to normal business trends and fewer working days as a result of the holiday schedule and plant shutdowns. For 2019, we anticipate a similar pattern. This concludes our comments on the business and results for the fiscal year and fourth quarter of 2018. Operator, we are now ready to open the call to questions.
Operator: [Operator Instructions] And our first question comes from the line of Sheila Kahyaoglu. Sheila?
Sheila Kahyaoglu: Tom, maybe can we talk about Industrial? You saw another double-digit decline. It seems to be bottoming out but not so much. How do you think about the organic pieces of the business and the moving parts in 2019?
Tom Gendron: Yes. Organically, we're looking at about approximately 6% growth in fiscal year '19.
Sheila Kahyaoglu: And is there any way you could comment on the moving pieces and just maybe touch up on pricing, too?
Tom Gendron: Yes, well, the moving pieces, as I said in the prepared remarks, we have seen our turbo-machinery business bottom. So as we look in fiscal year '19, we think that's going to be basically flat. In China, we're actually seeing a large order intake right now, and it's really tied to the government really moving forward with China VI emission regulations, starting equipment in July next year. And that's applying in the big cities both to natural gas and diesel engines. So we're starting to see a large ramp up for that. And that's been positive. And that's a big turn in the Industrial. We're also seeing on the power side large orders for data centers and backup power. In addition, the oil and gas market's doing well. So we are seeing organically a shift upwards. And then as we highlighted, with the addition of L'Orange, would be about 30% overall sales growth.
Sheila Kahyaoglu: Is there any way you could comment on pricing, maybe you're seeing in the IGT business? Are you seeing any of that, or how's the content shipset on like the power, the data center versus... sorry, go ahead.
Tom Gendron: Yes. Pricing, we're not experiencing price pressure right now, especially to I think your first question was around the turbine market. Yes, the volumes are so low. We're not adjusting pricing at all. So on the remainder of the business, it's typical where there's some opportunities for price realization, and there's some that are locked into contracts where we have productivity commitments. But I would call it normal, there's nothing unusual going on. So right now, that's holding, and the markets are turning as we were expecting them to. And we'll see as the year goes on how everything proceeds.
Sheila Kahyaoglu: You thought you wouldn't have to talk about the IGT business bothering with L'Orange, but people were bringing...
Tom Gendron: That's okay. No, actually, I think it's a good one that you -- everybody raised. I'm sure I might get some more questions. But because of lead times and things that are associated with that business, we had the decline last year, and it was severe, and we have seen the bottom. So from our standpoint, that's good. And we're -- we also have the new machines, so as the market recovers -- just kind of remind everybody, it's been tough market. But as things recover, the new machines, the H-class machines coming out on the large side and then the newer aero-derivatives and small industrials all have more content -- Woodward content per turbine than we used to have. So when that recovers, we're going to get a nice effect from that. I think it's going to take a couple of fiscal years to see -- get more back to where we think long term it should be, but that, at least, is in a positive direction.
Sheila Kahyaoglu: And then just on L'Orange, if I can. How are you integrating the business? What are you seeing in the sales channel and any sort of synergies there?
Tom Gendron: Yes. We have quite a bit of synergies within the business, definitely in the supply chain. We also -- biggest area is in sale synergy, expanding the customer relations. I think, as we highlighted when we acquired L'Orange, they are now independent of an engine manufacturer. It is opening doors. We are getting a great reaction from the larger industrial engine customers that it would be applicable to. We're starting to see progress on that. So that's moving forward. The integration activities to get L'Orange on all our systems, separating from Rolls-Royce Power, is going very well. The teams are doing well together. So we're very positive, and the integration is on track. And we're confident in achieving our synergy targets.
Operator: Our next question comes from the line of Gautam Khanna.
Gautam Khanna: First on Aerospace. What are your expectations for aftermarket growth in fiscal '19? And if you could comment on trends in provisioning as well.
Tom Gendron: Yes, in aerospace aftermarket, we had a very strong fiscal year '18. We really look at strength continuing into fiscal year '19. But as you can imagine, we're going to have really tough comps. But we see the market's still strong. Initial provisioning for the next-generation aircraft is still going well. It's really tied to new operators taking the aircraft as well as new routes. So as you can imagine, with all the aircraft being delivered and Boeing and Airbus catching up on their schedules, that's a positive. MRO with the legacy fleet, we've got really good dynamics. So that's positive. So it's all factored into us achieving our segment margins of 20%. So we see the strength holding but against what was very strong year in '18.
Gautam Khanna: Is there any finer point on it in terms of like high single digit aftermarket growth or double digit, anything you can quantify?
Tom Gendron: Yes, no, it's going to be single digit. It's not double digit. That's due to the strength that we're coming from.
Gautam Khanna: I was wondering if you could comment on whether L'Orange or the legacy Woodward industrial business has any angle on the IMO 2020 regulations.
Tom Gendron: Yes. Absolutely because those require advanced common rail fuel systems, and L'Orange and Woodward together are extremely well positioned on providing the fuel system, control system, air management and even part of the aftertreatment. So those are good regulations to drive higher Woodward content. So we're actively engaged in that. And that's a positive going forward for the company.
Gautam Khanna: And just -- I know you mentioned tariffs and sourcing and what have you are sort of manageable risks and contemplated in the guidance. But if you could also maybe quantify what is sort of the cost escalation you anticipate from tariffs in fiscal '19.
Tom Gendron: I'll let Bob take that one.
Bob Weber: Yes, I'll jump in. As I mentioned a couple of times, it's very difficult to quantify all the downstream impacts of what will you be able to pass through, what supply tariffs will be impacted and all the productivity that will go along with that. But we estimate that it is less than $10 million total impact and would probably be insignificant as we go through the year.
Tom Gendron: And we intend to mitigate it with supply contracts as well as pricing.
Operator: Our next question comes from the line of Pete Skibitski.
Pete Skibitski: Bob, just so I'm clear, the 14% Industrial margins. Is it $25 million backlog amortization, is that the only adjustment you're making?
Bob Weber: It is. Yes, that's the only one at this point in time. You saw the types of items. We don't anticipate any additional tax legislation transition at this point in time. So right now, that's the only adjustment we're making.
Pete Skibitski: And then the CapEx for fiscal '19 kind of organically, the organic CapEx down, but you've got the incremental L'Orange CapEx, is that fair or...
Bob Weber: Yes. That's a good assessment, yes.
Pete Skibitski: So I guess you're kind of in a run rate now that will be a full year, so maybe we can just extend that out roughly?
Bob Weber: Yes.
Pete Skibitski: Let me ask one more on Duarte. How's the move coming along, and when is that complete?
Tom Gendron: Well, the move's going well. A lot of that is to get all our lines approved by our customers as well as the FAA for our repair station. We're anticipating for second quarter of the calendar year.
Pete Skibitski: Calendar '19, okay. I guess, let me ask one more, Tom. Renewables win for fiscal '19, is that -- I know you had some customer issues. You've gained share, but there's some OEM share shifts, I guess. How is that looking for you in fiscal '19?
Tom Gendron: It will be slightly up as some of these new programs come online.
Operator: Our next question comes from the line of Robert Spingarn.
Robert Spingarn: So just starting with Aerospace. I was wondering if you could parse out for us the 10% sales growth. You just said that aftermarket would be single digit, Tom, I think you said. So how do we think about military or commercial OE in the context of the 10%?
Tom Gendron: Yes. Well, we have across definitely the ramp in the new narrow-bodies. It's a big part of the growth. We see 787 going up. Biz jets are increasing for us, the new programs coming online. Defense is also going up nicely with smart weapons increasing at a pretty good clip in traditional defense. And we expect defense aftermarket to pick up as well. That's just what I see.
Robert Spingarn: Can you rank order any of that in terms of growth, those four things you just said?
A – Tom Gendron: Narrow-body is number one. Start looking at defense OE, probably number two, defense aftermarket, biz jets and then commercial aftermarket.
Robert Spingarn: And on the biz jet side, are you seeing anything organic there, or is this just newer programs with higher content?
Tom Gendron: Well, it is. We're seeing increases, and you are seeing all these new programs coming online. And every one of those new programs has higher Woodward content. So it's kind of a twofer. The tax -- I think you guys are all aware. The tax legislation that came through allows people to depreciate the plane, and it's 100% in its first year. So it is grabbing interest. And we are seeing more coming along. And the new generation aircraft are actually pretty spectacular in what they've come out with. And the good thing is, we got more content on it. So I see business jets turning up this year and next year. They should be accelerating.
Robert Spingarn: I wanted to ask you on terms of the industrial or energy portfolio. In general, you've talked about seeing the bottom, but GE is having a tough time. Their latest quarter, power was under significant pressure. You're reasonably well exposed there, so how do we think about that?
Tom Gendron: Yes. First is, we're definitely exposed to GE. We also, though, sell to all the manufacturers, so just as a reminder to everybody. And we've got increasing content with the other manufacturers. And also in our turbomachinery is aeroderivative and small industrial turbines. So it's not just a large, but the large is very significant to us. What I would also say a little bit on that is that we experienced the inventory dry up and the reduction sooner than maybe you would hear from our customers, in that you got significant lead times. So we took the brunt of the hit in '18, flattening in '19. Does that make sense to you? And then we kind of see more recovery as we move into 2020.
Robert Spingarn: And then Bob, for you, on the free cash. I guess out of the five year, $1.5 billion target, now that you've given us '19, really only remaining year is '20. Am I thinking about this right, the five years were ending in '20?
Bob Weber: You are, yes.
Robert Spingarn: And while there's a little bit of adjustment, we probably all have...
Tom Gendron: There's a sliver that comes out of that.
Robert Spingarn: That's right. So that looks like a pretty robust increase in year '20, although maybe I don't have the right adjustments in first few years, but am I thinking about that...
Bob Weber: No, you are. I mean, remember, we got off to a great start with the joint venture proceeds, and then we had some additional CapEx and things like that, that were holding it down. We did say we needed to have a return to growth on the Industrial business. And that's when we tempered it down to $1.3 billion to $1.5 billion. We said we didn't want to back off the $1.5 billion, but we did temper it because we weren't seeing the Industrial increases. But it does leave a very hefty final year for us. So it's a good target.
Tom Gendron: Yes. But as we look into 2020, it will be a very good cash-generation year. A couple of ramp-ups going, industrial coming back, we're going to convert.
Robert Spingarn: And just as a final question. I know we don't yet know what the outcome in the defense budget is going to be here after yesterday. But assuming they do temper things a little bit in the '20 and '21 budgets, do you see any areas that we should focus on for you where things could start to revert, you could see a little pressure?
Tom Gendron: That's really a hard one to predict as I think if they cut back, when they cut a program, and I wouldn't know which one, that would be the risk. And our big programs, big new programs out there are obviously the Joint Strike Fighter, the tanker. We've got the smart weapons. If you saw significant impact on the funding to one of those, yes, that would have an impact to us. But at the same time, we think those are the programs of the future and that those will probably hold. But when you factor in the political world, it's really hard to call on that one. But we think spending is going to stay pretty well. I'm not sure. The election tomorrow with a thin margin is going to dramatically change defense spending.
Robert Spingarn: And just on that note, just with the Boeing win on the T-X, the GE engine there. Is that a nice opportunity?
Tom Gendron: The T-X is a good opportunity for us, but it's going to be more on the airframe side than the engine. We have a whole lot of content on. So it's really on the airframe side, but we do have content on that aircraft. And it'll be a nice program.
Operator: Our next question comes from the line of Christopher Glynn.
Christopher Glynn: So you had some good comments on the L'Orange process to diversify the customer base. Just considering the nature of the market dynamics, how long does it take that sort of liberated go-to-market strategy to take effect for you, do you think?
Tom Gendron: Yes. That's a good question because these larger diesel or gas reciprocating engines, it does take time for their development. And it's pretty analogous to the aircraft. You got a few years. So we've got some activity going. So it will take two, three years to start seeing it materialize in sales. But that activity is going full throttle right now, so we anticipate we're going to secure and start to see some new production coming.
Christopher Glynn: Look forward to hearing about that. And I think in your closing prepared comments, you talked about fiscal '19, a similar pattern. I didn't catch the context there, but could you kind of refresh on how you see the earnings and revenue linearity? I believe it pertained to that.
Bob Weber: Sure. We were just pointing out, historically, our first quarter, which is now has a lot of holidays, plant shutdowns, things like that. So historically, it is our lowest of the quarters. And then So historically, it is our lowest of the quarters. And then fourth quarter is usually our strongest. And we were just pointing out that we don't anticipate that pattern to be any different this year than it's been in the past.
Christopher Glynn: Okay. And on the cumulative free cash flow range, $1.3 billion to $1.5 billion, did I hear correctly that, in fact, you pushed that closer to $1.5 billion in your expectation?
Bob Weber: No, no, Robert kind of pointed out the $1.5 billion, but that's why I wanted to make it clear that it has been a range from $1.3 billion to $1.5 billion. We haven't been any more specific inside that range.
Operator: [Operator Instructions] And our next question comes from the line of Chris Howe.
Chris Howe: Most of my questions have been taken, but I did have a few left on the list. And the first one here is just based on capacity utilization, where you currently stand with existing capacity. And how much further could you drive sales without having to add capacity? And then my next question is just in regard to L'Orange. If you could perhaps break apart or add some more color into the different markets that you saw growth, perhaps the existing versus the new installed base and what you saw there, the numbers?
Tom Gendron: First on capacity. In terms of actual, the physical factory buildings, we don't see that we need to add any significant investment there. As we go forward, sales grow, we will add some machinery into that, but that's in the outlook Bob highlighted. We're bringing our CapEx down, but that CapEx will be able to support our long-range plan and the capacity we think we need. So we did have the large CapEx ramp up to add the new capacity, to modernize our factories. That's primarily behind us. And going forward, we'll be in that more normalized CapEx spend. With respect to L'Orange, where we see the two biggest areas that were growing is we see a lot of activity still in oil and gas for them, and a lot of that's tied to the fracking market. We're also seeing that they've got a nice business in data center power generation. And then the marine market's recovering. In the marine, we're seeing some good on the aftermarket side. So those are the ones that are really driving it. The growth in L'Orange, just to highlight, is tracking above our forecast when we acquired them, not significantly, but it has been a little bit better than the original forecast. The markets are strong, and we see that continuing through fiscal year '19.
Operator: Our next question comes from the line of Michael Ciarmoli.
Michael Ciarmoli: Maybe just to stay on that topic of L'Orange. I think you guys were originally expecting $0.35 of accretion next year ex-accounting, sounds like that might be coming in a little bit better than expected based on your comments, Tom?
Tom Gendron: It's tracking really close, yes, maybe with some opportunity.
Michael Ciarmoli: Okay. Just on Aerospace, obviously performing really well, the margin performance, solid. And not to nitpick, but you're going to grow at 10% next year and guiding to 20% margins. Are you not getting -- I guess looking at the incremental margins, knowing that aftermarket is not going to grow as fast. But can you give any color, I mean, are you going to see a stepped-up performance or improvement? I know that, that price and mix and productivity was a pretty big drag this year, but is there some room for upside to that margin next year just given the volume growth, or are there some headwinds you have to deal with?
Tom Gendron: What I'd like to say is, we first want to deliver the 20% segment margin that we've committed to for the last 4 years, I think it was. I said we were going to hit it by this year. And we're on track to do that. You did highlight some of the key things with the large OEM ramp up that we have. I think we're doing exceptionally well to keep growing the segment margin while we're absorbing all that OE shipments. So we feel we're tracking really well. We're also definitely improving or if you want to call it, going up the learning curve. That's happening. And as we finish this year, there -- we believe there's probably margin or opportunity for further margin enhancement. But we want to deliver on our commitment first, and then we'll talk about it after that.
Michael Ciarmoli: And then maybe just the last one, I guess. A lot of conversation and topic about tightness in the supply chain. I guess the engines and fuselages have made all the noise, but are you guys seeing anything at all out there that's giving you reason for pause in the aerospace supply chain?
Tom Gendron: No, you hit on the -- the entire supply chain's got to deliver on time to allow the ramp-up to occur. What I would share is, we're doing really well on getting the ramp-up. There is no reduction or I do want to say, in taking finished goods, the -- from either the engine builders or the Boeing, Airbus, they all want the equipment because they're all trying to catch up. So right now, we're not seeing any drawback. Obviously, sustained performance by other suppliers could impact the lines. But I think, as you guys all know, Boeing and Airbus are determined to deliver these aircraft, so they don't want to slow anybody down. And that's what we're seeing. They're not slowing us down. They're driving us to the schedules. And we're performing pretty darn well. And we intend to stay ahead of the ramp-up. So I think everything we produce, their take.
Operator: Our next question comes from the line of George Godfrey.
George Godfrey: Tom, you commented about the rising dollar content and specifically on the narrow-body aircraft, the 737 and the A320. Could you maybe parse out 1 or 2 areas where you're getting a higher dollar price today versus a prior generation for the same content and maybe new areas where you're getting additional content on those 2 platforms?
Tom Gendron: George, maybe might have been misinterpreted. The -- We have on the new narrow-body programs, we basically have life of the program contracts. And that all came with fixed pricing with pricing formulas. So there is no -- that wasn't applied there to those programs. That pricing's all locked in. In terms of productivity, we're still driving productivity on our end so to expand the margins from where we are, and that's kind of going up the learning curve. When we won these programs, depending on each model and the like, we really secured two times to third times the content of previous generations. So that was huge content win. Long-term contracts are fixed, kind of fixed pricing, then that puts it on us to operate our facilities and drive productivity and operational excellence. And that's why we kind of highlighted that during the prepared remarks. That's what we're driving to. Where we -- Also, I think some was on the business jets where we also saw substantial content increases. That was the other one I was referring to. In terms of tariffs and things, that's also where we said, there is opportunity for pricing, maybe more in the Industrial, but pricing work and supply chain, trying to mitigate any effects of those tariffs which, as Bob highlighted, aren't dramatic. But that's what I was referring to on those one, George.
Operator: And we have a follow-up from the line of Gautam Khanna.
Gautam Khanna: Just quickly, I was hoping you could put a finer point on learning curve improvements on the new narrow-bodies. Are those on the OE side now profitable? And sort of what's baked in, in terms of profitability lift on those programs as you move into 2019?
Tom Gendron: The programs are profitable, but we're still going up the learning curve, as I said. So there's still opportunity to get to what was our targeted margin. So that kind of was the big challenge as we were moving forward and the earlier question on, can you keep expanding the segment margins. The first thing we had to do was not only hold the margin with this big OE ramp up but to expand it during the ramp up. So we feel good that we're accomplishing that as we committed to. So there's room on the OE side to continue to go up the learning curve. And so that's what's built into our numbers and our books, yes.
Gautam Khanna: And just regarding provisioning, maybe I had asked earlier, maybe I didn't understand the answer. But on provisioning, do you expect that, that's going to continue to grow next year based on the factors that drive it, new routes, new operators, or when do we start to see provisioning sales on the new narrow-body start to flatline? Is it a fiscal '20 thing? Or is it -- When do you see that?
Tom Gendron: Yes. Provisioning was quite strong in 2018. We see it as being strong in '19. As we look at the fleet and the operators taking on, I think we still have several strong years ahead of us. And then it'll start to decline. And that's the time period when you're going to start to see the repair and overhaul kick in. So there is that ramp down and ramp up, ramp down of IP and ramp up of MRO. I think we're managing it really well. Right now, it's strong. I do think we have a couple of more years of good strength in IP sales.
Gautam Khanna: And just last one. You guys in the past have talked about sometimes the OE mix in a given quarter is favorable or unfavorable for a variety of reasons. Was there anything like that in the quarter, unfavorable, or was it more of an average kind of OE mix? And is that what you're baking in for next year on the OE side?
Tom Gendron: Yes. Normally, just go back. I think normally when we talk about mix, it's the aftermarket mix. And it's truly initial provisioning because initial provisioning isn't uniform, if you want to say. So you get some, and it could vary from quarter-to-quarter. And that does drive some volatility in the margin mix. When we're looking going forward here, we've got really good outlook on the OEM line rates. We know what they're going to produce. We know the margins on our product. So that's all factored in. So I don't see any OE risk. The risk is generally always tied to aftermarket mix and IP timing, initial provisioning timing. So we do our best to forecast it, and I think it's in there pretty well. But I'm glad you brought it up. There is quarter-to-quarter variability tied to that, but for the full 12 months, it'll average out. And we're confident we're -- deliver our margins.
Operator: Our next question comes from the line of David Strauss. David?
David Strauss: I joined a little late so apologize if any of these have been asked. But did you comment, it looks like you delevered a bit in Q4. Did you talk at all about if you're kind of continuing to be on track to delever, I think you said, to 2 times by the end of '19?
Bob Weber: Yes, we are on track. We did de-lever slightly. And we're kind of right on the ramp. We should get to around 2-ish by the end of 2019.
David Strauss: And then it looks like in your cash flow guidance for '19, you're assuming pretty good working capital performance. Is that right? How are you thinking about working capital next year?
Bob Weber: It's always an opportunity. As you guys know because of our strong fourth quarter, working capital can be a little bit of a drag. But Tom mentioned operational performance and leaning out the operations. So we believe that we can counter a lot of that throughout the year as we improve in those areas. And so we are not planning either a significant deterioration or a significant improvement overall, but that always represents an opportunity.
David Strauss: And where are you at this point with the move cost? Are those maybe from a accounting standpoint and from a cash standpoint, are those mostly behind at this point?
Bob Weber: We're probably in the middle of it right about now. We've incurred a fair amount this year. You can see in the materials that we produced. And we'll have some more next year. Obviously, it will probably end up being close to slightly above where we originally anticipated the cost would be. But it is, as Tom said earlier, it is on track. And we're looking to make the move on time.
David Strauss: So similar cash cost in '19 as '18?
Bob Weber: Yes.
David Strauss: And then last one for me, did you talk about R&D expectations next year as a percent of sales?
Bob Weber: We did. We think it'll be right around that 6% level.
Operator: Mr. Gendron, there are no further questions in the queue at this time. I'd like to turn the call back to you.
Tom Gendron: Okay. Thank you. Well, again, I'd like to thank everybody for joining us today and for your questions. I'd like to remind everybody that we have scheduled our Investor and Analyst Day on December 7 in New York City. And I hope all of you can join us. And we're going to dive a little deeper than we do on these calls into our strategy, our outlook and where we're taking the company. So I hope you could join us there, and I'll look forward to that. Thanks, again, for joining. Good night.